Operator: Good morning, ladies and gentlemen, and a warm welcome to the 9 Months 2025 Conference Call of the DEUTZ AG. Please note that this call is being recorded, and a replay will be available on deutz.com later today. Your participation in this call implies a consent to this. I'm pleased to welcome DEUTZ's CEO, Sebastian Schulte; and CFO, Oliver Neu. So Sebastian will begin the presentation with the key figures of the 9 months 2025 and then walk you through the progress made in the business units. Oliver then will provide you with the financial details of the 9 months financials 2025, and Sebastian again will conclude the presentation with a look on the guidance, after which we will move over to our Q&A session. And as always, please note the disclaimer, especially regarding forward-looking statements. And having said this, Sebastian, I hand over to you.
Sebastian Schulte: Yes. Thank you very much, Zara, and also good morning, everyone, and thanks a lot for joining us for this 9 months earnings call here. So let me say -- let me start actually with a lot of confidence and optimism because our numbers show clearly that we, as DEUTZ continue to deliver. Double-digit growth in revenue and new orders, rising profitability, EBIT margin now year-to-date at 5%, and I will show later quarter-by-quarter improving. And most importantly, a business that's proving more resilient and dynamic again quarter-by-quarter. Our broader portfolio is paying off and the transformation towards really innovative and sustainable mobility and energy solutions is clearly gaining momentum. As I said right now, we went through this first 3 quarters of the year and quite actually following the second half of last year, every quarter, an improvement. Let's bear in mind, we came out of a very strong '23, driven at that point by the strong demand in our sort of heritage core markets, construction, agricultural equipment. But then there was the slowdown in demand, which helped -- which brought -- which made our numbers in the second half of '24, in particular, going down. But since then, we are on an upward trend. First quarter, 4.3% margin, second quarter, 5% margin and third quarter now 5.8% margin, which is actually even more impressive given the fact that typically the summer quarter, the Q3 is seasonally a little difficult because most of our customers have at least 2, 3, 4 weeks of vacation, and so do we in our engine factories in Cologne and Ulm. So clearly, year-on-year improvement and continuous momentum in margin uptake. If you look at the markets, and I mentioned earlier our sort of previous core markets now we've been broader, we're becoming broader. So we're talking about construction, agriculture, material handling, defense as the most recent addition, but also energy for our gensets. And what we see here is in construction equipment in Europe, well, the activity is still somehow muted. In the U.S., the infrastructure demand is stable. But overall, here the outlook, let me put it that way, is resilient. Agri, still in the short term, fairly weak outlook because inventories have been high. Financing costs have been slightly negative on the customer side, but structurally, it's very, very solid. Material handling, this megatrend is helping us. Commercial logistics, e-commerce that demands here quite stable activity in the material handling. Forklift CapEx remains robust. So that's why we see also on the left-hand side, a positive projection going forward. And defense, of course, very strong momentum in Europe, driven by the increasing budgets and also the NATO programs in the European Union. And energy, the gensets, I mean, this is another megatrend growth in data centers, backup power application, and we here see a supporting expansion in all regions, but particularly the regions which are relevant for us in this segment as of now, the United States with our Blue Star business and also going forward, Europe. So in total, we see that 9 months year-over-year, we've been growing at 15%. That's growing above all relevant markets here given that we are also entering into these new markets, defense and energy. If we look at -- let me start with defense. I mean, here, really the headline is that we have been strengthening our footprint in the defense tech ecosystem. When we talk about defense tech ecosystem, I mean, particular military drones. I mean, military autonomous land vehicles. You will all remember our most recent acquisition of SOBEK Group. SOBEK is a leading manufacturer of electric drives, very high-performance electric drives for not only military drones, but obviously, that is the -- that is the factor which is growing most significantly right now. We signed and closed that transaction at the beginning of September and the purchase price we financed by a capital increase using the 10% ABB procedure, which Oliver will elaborate on later. And the business has been developing pretty well since then. So all expectations that we placed into SOBEK so far have been fulfilled. The momentum continues to be strong. Then we entered into a strategic partnership with Arx Robotics. That's a Munich-based defense tech scale up. Here, we're not talking about drones, we're talking about vehicles, autonomous vehicles on the ground, as you see on the picture also on that page. And the idea of that partnership is that going forward, we will, on the one hand, supply drive systems for these vehicles and also made our mobile energy infrastructure products and of course, the global production network available because assembly of those products, I mean, that's something where we have with our facilities in this case, in Ulm, in Southern Germany, where we've got actually a competency, which help Arx Robotics in the scale-up of their production. And almost -- well, as a nice side effect, we're also intending to participate as one of the lead investors in the next Arx funding round that's going to happen over the next weeks. If you move on to engines, we are quite proud to be able to announce that we extended our product portfolio. We entered -- we brought a new product to the market. It's the DEUTZ TCD 24.0 V12 GDUL engine. That's a large engine. It's the largest engine we now have in our portfolio. It delivers some 780 kilowatts, so really on the upper end of the portfolio. It's optimized for use in gensets. That's why it's future-proof in a way that the power-gen market is expected to grow very, very strongly in the next years. And obviously, the diesel engine for backup power is a very crucial component in such gensets. And we were able to develop that product very, very quickly using our international partnerships, our international supply chains. And currently, this -- the first product is being tested in a pilot customer, by a pilot customer in Italy in a genset operation. And we also already received the first small series order very, very recently. We have planned a broader market launch of that 24-liter engine in the beginning of 2026. On top of that, partnerships becoming more important for us on a broader scale as well because we have, over the last years, engines -- industrial engines also developed together with joint venture partners in Asia, and we're currently undergoing or these engines currently undergoing the testing in our test benches, our test center in Cologne in order for us to allow these engines to be offered in the future on a global scale with a very strong focus on price and performance as well. And we want to develop or we will develop a new 6-liter engine, the DEUTZ TCD 6.0, and we will launch sort of the premier of this very, very powerful 6-cylinder engine in the Agritechnica. The leading trade fair for agricultural equipment, which is starting this Sunday in Hannover and then being there for the coming next week. So we're pretty excited about this expansion of our engine portfolio, where we are broadening the portfolio. We're bringing, particularly on the upper end, more powerful engines to the market. And of course, also sort of in the mid-end, we're utilizing our global footprint to become also more cost competitive on a global scale. If you look at service, a very important backbone for our growth, for our very profitable growth. And here, we can also proudly announce that we continue or we have continuously been growing our global service network over the last weeks and months as well. We concluded 3 acquisitions, our long-lasting Turkish service partner, Catalkaya Makina. We closed that acquisition beginning of October. And on top of that, we widened our service network and also the capabilities in the United States, most recently by achieving 2 mergers or 2 acquisitions. One is a company called OnSite Diesel and it's a Texas acquisition happened in October 2025. With OnSite Diesel, we are offering or we're broadening our offering to mobile and stationary full services, where the customer focus here is on waste management, construction and rail. So all segments where the combustion engine, the diesel engine in particular, will, particularly in the United States, be relevant for quite some time to come going forward. So that's why that was the rationale behind the acquisition of OnSite. More recently, just a couple of days ago, we acquired a company with a fantastic name of DoubleDown Heavy Repairs it's in Nevada, and it's a service company, which is extremely experienced and well positioned in the repair and maintenance of heavy equipment and engines in the mining, really gold mines and other mines in Nevada, also railway, construction and transport industries. And then on top of that, we complement these inorganic growth with also our strong organic United States growth path, where we opened 2 new DEUTZ power centers in 2025. And the plan, which is totally on track is to open another 4 new DPCs throughout 2026. On top of that, I mean, that's the footprint in the market. But on top of that, obviously, we need to really work on our backbone as well because all the parts that we deliver through our footprint to the customers, they have to come in time and in the right quantity and quality out of our very, very modern global logistics center in Cologne. We modernized that with an out-of-store system, AI-driven out-of-store system, which helped us really increasing the efficiency in the management of these parts. So we're talking about more than 25,000 parts and increasing the efficiency of up to 50%. So that means not only are we going to be faster, but we also have more space in order to grow and to really support our global footprint out of our global logistics center of Cologne. Let me continue then with our Solutions business, particular Energy continues with a very, very strong and solid performance. The business unit Energy, driven by Blue Star Power Systems in the North American market. Market is continuing to be extremely favorable and there are more and more growth opportunities. So order intake is strong, sales strong, bottom line, most importantly, with a very high cash conversion is strong that is continued to be strong at Blue Star. We also are beginning to realize more and more synergies with our U.S. business. So the service operations, that's what ties it into what I said just a couple of minutes ago on our DPC growth path in the United States. So obviously, with Blue Star, we're bringing products into the market with our service center throughout the nation, we are serving them when they are in operation. And on top of that, our North African business, which operates under the name of MagiDEUTZ, got a new Managing Director in play, a new team, and they're working quite successfully on really restructuring it and repositioning for MagiDEUTZ to be really one of the backbones for Europe. And on top of that, we're looking -- we're continuously looking here also at inorganic growth within energy. NewTech is increasing traction. UMS, a company we acquired earlier this year. The onboarding of the company is progressing pretty well. Last call, the former owner and one of the guys leading the business operationally. It's also been named as Head of Technology at NewTech. We merged now the existing sort of the formerly known as DEUTZ product portfolio with the product lines of UMS. So we've got a very, very clearly defined product portfolio now, and we're following literally dozens of promising leads with very, very relevant customers also throughout the world. So the momentum is increasing here is improving here. So there is more to come in terms of positive news throughout the remainder of the year and of course, particularly the next year as well. And with that highlights on our operational and strategic developments, I would hand over to Oliver before I come back later to give an outlook for the rest of the year.
Oliver Neu: Good morning. Welcome also from my side to our investor call. And let me start with the capital increase we recently conducted. So as Sebastian said, we are in the execution phase on our strategy. We successfully conducted a capital increase to finance further growth. We have an exciting M&A pipeline. So we decided to do that capital increase even though additional debt level would have been possible as well. But considering the exciting M&A growth and keeping strategic flexibility, we conducted a capital increase. We saw strong demand, very strong demand, investors from Europe, but also from the U.S. that shows that the equity story is convincing and investors are trusting in DEUTZ, and our continuously improving performance. Books were filled after a few minutes. The take a capital increase was several times oversubscribed, and it really was a successful event that made a lot of fun from a CFO perspective as well. Talking about execution, our Future Fit program is absolutely well on track. Just to remind you, we are intending here to achieve at least EUR 50 million savings 2026 compared to 2024 based on structural cost reduction savings we are talking about. We are absolutely well on track with a good measure pipeline, more than EUR 50 million in terms of ideas. So we are expecting even an overachievement here of 10% or 20% in terms of savings, and that also applies to the current year 2025, where we will end up more than EUR 25 million rather towards EUR 30 million on the savings side. Measures are implemented, measures are on track. negotiations with the works council have been successfully conducted around 180 people already left the company. So that is a good sign and it was a good example of a positive execution. Going a bit more to the details of the figures, we see an increase in the order intake, 11.8% year-over-year. So that is basically driven due to the portfolio development. Book-to-bill ratio is around 1. Order backlog remains at EUR 470 million. On the revenue side, even EUR 15 million -- sorry, 15% increase there. So we see that application areas like construction and agriculture and a slight increase. That's, of course, also driven by the fact that we have the Daimler Truck engines, which we acquired last year, which are mainly in those areas. So the M&A activity is driving up revenue compared to the previous year. On the earnings side, cost savings are paying off. We are at EUR 75.5 million or 5.0% adjusted EBIT margin year-to-date. We see that the third quarter was the strongest of the quarters. And typically, third quarter is driven by cyclicity rather than weak quarter. So that was very good and shows and proves that our portfolio measures, but also our cost reduction measures are really paying off and that we see that continuously in our results. Talking about the different segments covering here, firstly, the segment Engines and Services. So we see here order intake increasing, revenue increasing and especially a good signaling that the margin is increasing from 6.1% last year to 6.6% this year. We need to keep in mind that last year, beginning of the year, we still were in a stronger market situation with the 3 shift operations. So overall, we see that volumes on the engine side, purely driven by market effects went down a bit, 8% compared to last year. Production almost 10%. But nevertheless, we managed to increase the margin, which is a very positive sign because it means that our measures, our strategic measures, our cost measures are overcompensating the negative economies of scale resulting from a weaker production due to weaker market conditions. Also HJS, the emission after treatment producer, which we acquired beginning of the year, successfully managed the turnaround, is profitable, is contributing positive EBIT as well. On the service side, revenue is year-to-date at EUR 406.6 million that is a 9.4% increase compared to last year. So even in the current market environment, we are continuously growing both organically, but especially, of course, also inorganically via the acquisitions we recently saw. Coming to the segment DEUTZ Solutions, we see overall an increase in the revenue. This is due to the fact that we acquired Blue Star Power Systems last year in August, but also the adjusted EBIT improved significantly. In order to understand the segment, the figures, we need to keep in mind that we combine 2 business units with a different financial profile. On the one hand, we have the business unit Energy. So especially Blue Star, MagiDEUTZ, our smaller entity in China as well. We see here the business is absolutely well on track. Order intake is on track. It's not totally like linear over the year, but it's absolutely on track. We just recently received another big order, which is not reflected in the figures here yet. Also, revenue is organically growing, a little bit offset by the U.S. dollar development compared to the former year, but organically with a strong growth rate and also the adjusted EBIT of the segment at EUR 11 million or almost 10%. With that, and you see that in a little bit hidden in the footnote, but there is purchase price allocation effect, if I take that out, right EBIT would even be at 18.8% at a margin level of 15%. So operationally, the margin is even better than what we show you on the figures driven by the technical accounting purchase price allocation effect. On the business unit, new technology, we are making progress as well. So new orders at EUR 15 million, first time consolidating the subsidiary UMS in the Netherlands. In June 2025, revenue is at EUR 9 million, so still on a low level, but we are about to start and consolidating the product portfolio and good talks with customers. So we are expecting some increase going forward there, of course. And the EBIT improved. It's still negative, mainly driven by R&D expenses, but the run rate is getting better here as well. Coming to a few more KPIs. R&D spending, we are at 4.3% of revenue. So that's a direct consequence, improvement as a direct consequence of the Future Fit measures, where R&D people are continuously getting out as part of the agreements we conducted with the works council. So that is showing a very positive trend here. Same for CapEx, we remain on a low CapEx level of 3.3%, more or less as in the year before. That is showing that we are investing where necessary. But of course, we're also structurally targeting for continuously improved CapEx ratios, considering that the business profile of our group is changing towards less CapEx-intensive businesses. Working capital, we see a slight improvement there. We are at 19.9%, so 1.2 percentage points better than in the year before. We are not overdoing it on the inventory side here. We are pushing, but we are not overly pushing inventories down just to be prepared because we are convinced that the market in this engines part of our business is picking up at one point in time, and then we want to be prepared without restrictions on the supply chain. So that is why we are still on a 20% inventory or working capital level. Talking about cash flow. Operating cash flow improved as well. So also here, good signals, direct development of a better cash generation capability, better operational performance, also a lower increase in working capital compared to the increase we saw in the year before. That is positive on the free cash flow before M&A, we guide a mid-double-digit million euro amount. That's absolutely on track here. We are -- even though the Q4 -- Q3 is typically the weakest quarter in terms of cash flow due to summer breaks and so on, we are here at EUR 2.4 million year-to-date. So that's a EUR 31 million better development than the year before, also showing the positive impacts of our transformation. And net debt slightly increased, among others, due to the M&A financing. Last but not least, balance sheet that remains strong, 49% equity ratio and also solidly financed. Our leverage is at 1.4x. That gives us sufficient headroom for the further M&A transactions we are working on. So only positive signals from this end of balancing balance sheet and financing figures. With that, I hand over to Sebastian.
Sebastian Schulte: Yes. Thanks, Oliver, for the update on the financial part. Let me give you an update on the outlook of the rest of the year. So first of all, we confirm with a small specification, we confirm our guidance for 2025. So just to bear in mind what we -- what was our guidance or what has our guidance been so far. We provided so far a range between EUR 2.1 billion and EUR 2.3 billion revenue. We were always assuming a bit of an earlier recovery of the market in the fourth quarter. So that's not yet kicking in. So that's why we are specifying to arrive at roughly EUR 2.1 million or at EUR 2.1 million at the lower end of that guidance. Good thing is we confirmed the adjusted EBIT margin range as well. We confirm here to arrive in the middle of that guidance range. And I think we've been showing clearly earlier that the path on profitability increase is well on way quarter-by-quarter. And we also confirm the free cash flow prognosis mid-double-digit million euro amount. As Oliver said, particularly, the margin is supported strongly by our cost savings for Future Fit by the Service business and of course, by this ever strong Energy business as well as the portfolio measures. So we're showing that we're actually very well on track and quite happy with the progress here. We also currently do not foresee any sort of significant impact from the semiconductor crisis because that's one of the things we're pretty good at. Bottleneck management when there are issues with supply chain, I mean, '22, '21, '22, we've been training quite hard on that, how to deal with difficulties in supply chain, particularly when it comes to semiconductors. So all these activities, which guided us back in days well through these -- the problems is also helping us a lot so that we can actually say that there's no issue to be foreseen at this point in time. All right. With that, yes, this is a confident outlook for the fourth quarter and of course, also for beyond because I said it earlier, when I talked about the outlook on revenue, it's true. There is no tangible recovery in the engine demand in construction and the material handling. However, we are able to -- or we have been able and will continuously to be able to steadily increase our profitability from quarter-to-quarter. Now the 5.8% in the third quarter is a preliminary high point, but we expect to arrive at a higher level in the fourth quarter as well. And that's, of course, due to the Future Fit program, as we just heard from Oliver, the savings -- further savings to materialize in the coming quarters, EUR 50 million. We announced this EUR 50 million a bit more than a year ago. And we just heard it from Oliver, we're very well on track, and that's an important thing. We promised and we deliver the promises. And of course, DEUTZ is now more than just an engine company. The engine remains to be important, but we manage, we guide this transformation towards a much, much broader business model quite successfully. And that's why we are now in a position that despite still struggles in the former core markets, construction, agri and material handling were actually developing so well, particularly, of course, due to the business unit service and energy in particular, demand for gensets is extremely high and strong. So a good start into Q4 that we can already say. I mean we are at 6th of November. So we know already what's happening in the first month. So that's been very good and continues to support our expectation for a very strong last quarter of the year. Revenue growth, which we expect to happen in the fourth quarter compared to the third quarter, supported by the latest portfolio additions in defense and services as well. Margin increase I mentioned already, and our strategic transformation, we continue to implement going forward. With that in mind, 9 months in the books, 3 months to go. And thanks for your attention. And obviously, now, as usual, we are open for questions.
Operator: Thank you so much for your presentation, Sebastian and Oliver. So we will now move over to the Q&A session. [Operator Instructions] We move on with the virtual hand we received from Stefan Augustin.
Stefan Augustin: Can you hear me?
Operator: Yes.
Stefan Augustin: Great. Okay. That was a couple of buttons to press. So I would like to then dive already quickly into the Q4 projections. So I don't want to be really nitty-gritty, but we're looking for around EUR 100 million in higher sales versus Q3. And could you help us a little bit of how much of these EUR 100 million we roughly look for would be the additions from SOBEK and the purchased service businesses> And where does in the fourth quarter then otherwise come the demand in the verticals from? So where -- into what vertical do you sell some more engines? Who gets more interesting? And from that would be then the conclusion, can we keep this level going into 2026 roughly on the same level? So let's say, having -- or is there a onetime effect in sales in Q4?
Sebastian Schulte: Stefan, thanks for the question. So first of all, when I go through, let's say, the verticals when I talk about verticals, I mean, that's sort of our business units. So obviously, the business unit engines, that will make quite a significant contribution in that fourth quarter. Typically, the fourth quarter is always a little stronger than the third quarter for 2 reasons. First of all, in the third quarter, we have that summer break mainly in August, end of July, beginning of August. So that's why we're always lagging behind a little bit. And when it comes to the verticals within engines, it's pretty much across the 3 verticals, construction, agri and material handling. So there's nothing -- there's no vertical, which particularly stands out. Then as you rightfully said, I mean, the service -- the service is developing quite nicely. We obviously track that on a monthly basis. So the last month is indicated that we're going -- we're getting better month by month as well and then the 2 acquisitions support as well. We don't disclose like the very details of the acquisitions. They're sort of too small to provide like exact million euro numbers for that, but obviously, they add up as well. Energy business, Blue Star is expected to be a bit stronger in the fourth quarter than in the third quarter as well. And then, of course, the most recent acquisition, SOBEK as well, but that's not like we -- we don't talk about like tens of millions. In short, it all adds up together, and that's how we arrived at that outlook for the fourth quarter. Sorry, I forgot to answer. And then, of course, you asked, which is sort of the million-dollar question for 2026. We are currently putting the plans together for 2026. And the fourth quarter right now, I don't expect to be a one-off to make that clear. However, to be able to arrive at a guidance for 2026, that's too early.
Stefan Augustin: So sure. I understand that one, but that was already giving me an idea. Second is then this larger order at Energy that has been hinted. Is that something we should look for in the scope of something like between EUR 5 million to EUR 10 million? Or is that rather an annual big order of EUR 20 million, EUR 30 million, EUR 40 million or something like that? That would be the second question.
Sebastian Schulte: This order, which Oliver hinted to is the first, sort of, let's say, the first third of the year order from our major customer in the United States. So it came expected because they don't order on a weekly or monthly basis. They order, let's say, 3 times per year, 2 times per year. And I believe Oliver will talk about something -- EUR 20 million to EUR 30 million, yes.
Stefan Augustin: All right. That's quite some scope here then. All right. And lastly, maybe on the tax rate in the third quarter. This has been a bit unusually high, but is there -- is this something that has to do with the structural changes from where we generate the profits? Or is it rather a onetime effect?
Oliver Neu: No, that are typical onetime effects. I mean, overall, the tax rate on a group level is at around 17%. That is mainly -- in general, that's mainly driven because we have a significant amount of tax loss carryforward from the past from the 1990s basically, but we are benefiting from that still. And so that in Germany itself, we are rather on 11% minimum taxation. So there are no structural changes to that and the tax loss carryforward is going to last some years in the future.
Operator: So Mr. Ringel was a bit surprised that I muted him, but he sent me his questions. So I'm happy to ask the questions for him. So his first question is, is the adjusted EBIT margin level now achieved a sustainable cruise level that can be assumed going forward?
Sebastian Schulte: Well, we want to improve it further. So I mean, very clearly, we want to get better. And obviously, with the current structure of the company, with the current demand in engines, you may consider that as a cruise level, but we are not up for cruising, we're up for speed. So that's why, obviously, with further expectation in market recovery in the next year in the engines business and further growth in the verticals, which we entered into. Yes, we want to clearly depart from that cruise level towards a bit of more of a full throttle way of traveling.
Operator: All right. So has [indiscernible] 2 further questions. [Operator Instructions] And his second question is, what is your view on the expected recovery of the markets in the coming months also with regards to the German infrastructure package?
Sebastian Schulte: Yes. I mean that's what I tried to say earlier when Stefan asked a similar question. We don't see it -- still, we don't see it in the incoming orders as you saw it here in our numbers yet. We're still like book-to-bill around or slightly above 1. But yes, we will see. We cannot say yet. That brings me back to what you just said before. It's good to have such a high cruise level now on this low occupation in the engine business. But the good news is, obviously, we're bringing also some new products into the market. We're bringing this 3.9 liter engines into the market. The demand from our customers is quite strong. So one thing is how is the general market developing in the engine business. And that's again the million-dollar question for next year. We do expect a recovery, but everyone expects a recovery, but it's just not materializing. However, we're working also quite strongly on winning market share with the new products that we bring into the market, 3.9, as I just mentioned, but also the 24-liter engine in energy and utilizing also our JV partner engines from Asia in particular. So we're actually quite positive looking forward.
Operator: All right. And his last question is, when will you be in a position to carry out larger M&A transactions again? Will the focus remain on the energy sector? Or are they currently concentrating in particular, on the defense tech sector?
Sebastian Schulte: Both verticals are extremely interesting for us. And you will understand that there's not much more to say in a public earnings call on M&A strategy, but both energy and defense are very interesting verticals. And we are observing and pursuing a lot of different avenues. But as we have shown very clearly in the last 2.5, 3 years, if we do M&A, we want to do it very successfully. And I think the acquisition of Blue Star and the Daimler Truck Engine business and all the others have shown that we're actually pretty good at it now. So that's why we are very picky, and we will only do the things which make a lot of sense. But in order to arrive there, you need to follow lots of opportunities, but we're pretty confident that we continue to work on that track.
Operator: All right. And then we have next question or raised virtual hand from Klaus Soer. [Operator Instructions] Then in the meantime, we will move on with Mr. Jansen. So same for you, Mr. Jansen. [Operator Instructions]
Unknown Analyst: Okay. Just one question regarding Arx Robotics. You spoke about the investment round. And just for clarification, you don't plan to have a major stake afterwards, right, because there are so many other investors. And with SOBEK, you already had a big investment in the defense market, right?
Sebastian Schulte: Yes, that's correct. I mean we plan to participate in an investment round, but that does not -- that would not turn us into a major investor. That's absolutely correct, yes. This is an investment which is rather underlining our ambition or our strategic partnership, but we do not plan to takeover or anything like that.
Unknown Analyst: And is there an indication on how big the round overall could be?
Sebastian Schulte: Of course, there is an indication, but that's in the court of Arx Robotics. So you will understand that I can and do not want to comment on an investment round of another company, right?
Operator: And now Mr. Soer, I'm not sure if you're able to speak.
Klaus Soer: I hope so.
Operator: Great. Then we're happy to take your questions.
Klaus Soer: Just coming back to the announcement that you are introducing the large 24-liter engine into the market. Could you be a bit more specific what your expectation is in terms of sales or market entry in '26? Is this material or small size, big-size units? Any indication what type of impact this might have?
Sebastian Schulte: Yes. First of all, we don't talk about huge unit sizes here because it doesn't go into sort of serial mobile equipment such as, let's say, material handling, where sometimes we sell 5,000, 6,000, 7,000 engines to one customer a year. But we also talk about a significantly larger engine. So the unit price is a multiple of the unit -- of the average unit price of what we typically bring into the market. So we do not talk about thousands per year. We talk about after the ramp-up, probably hundreds per year -- per year at least in the next year. But from a revenue and especially also from a profitability point of view, there is sort of a rule of thumb in the engine business, the larger the engine, the more the financial attractiveness as well.
Klaus Soer: Okay. And if I may add one question on Arx. In your statements and in the presentation, it always says you intend to participate. Is there still an open question, if you participate in the financing round?
Sebastian Schulte: No, we have decided to participate, but this is a cautiously legally checked wording because we are one party to participate. And as in the financing rounds, there are also other parties to participate. And typically, in these sort of investment rounds, the financing round is concluded when every investor who wants to participate signed sort of the legal agreements. And that's currently, as far as I understand, being negotiated with many investors. So it's more like a process point of view. So that's why we have this very cautious statement, but we are very clearly committed to do so because we are very convinced of the outlook of the company and also of the areas of cooperation between Arx and DEUTZ. It's an amazing opportunity, where DEUTZ can bring the industrialization expertise, scaling expertise, management of supply chain expertise to the fantastic technology expertise coming from dev tech company.
Operator: And then we have a follow-up question from Mr. Augustin. So please ask your question.
Stefan Augustin: Yes. Just 2 smaller ones. I recall that you mentioned you had a new customer with comparatively higher amounts of unit volumes. Can you just remind me, if there is the expectation that this customer should ramp-up the business in '26? Or will that be a bit later? And the other one would be, when do you expect the LOIs of UMS to materialize into orders? Is that also expected maybe for the year-end already or rather going into '26?
Sebastian Schulte: Yes. For the first question, that larger, I believe you referred to the larger order for our 3.9 engine in construction. And yes, for confidentiality reasons, we were -- we're still not allowed by the customer to announce who it is, but it's a very relevant construction equipment company. The ramp-up is expected to kick in at '27, not in '26. So that's the following the ramp-up of their respective products. With UMS, we expect first orders or we are already gaining orders yes, but first larger orders potentially to be -- to kick in, in '26 already. We're still at the sort of smaller pre-series orders right now, but we're having very promising conversations also, particularly in the field of multinational construction equipment companies. And I'm pretty hopeful or pretty positive on good developments and news already early '26.
Operator: And in the meantime, we did not receive any further questions. So I see no further virtual hands. And that means we will come to the end of today's earnings call. And thank you very much for attending and to shown interest in the DEUTZ AG. And also a big thank you to you. Sebastian and Oliver, we appreciate the time you took and for guiding us through your presentation and for answering all the questions. So yes, from my side, I wish you all a lovely remaining week. All the best for you for the remaining quarter. And Sebastian, as always, some final remarks from your side.
Sebastian Schulte: Yes. Thank you very much also from my side. Again, still in some areas difficult market environment, but we're doing well. Transformation is on track and the results clearly show that this is the case. We're looking forward to be in touch with all of you in the next touch points, financial calendar here is very clear, 2025 annual results end of March, Q1, May 7 and so on and so forth. But on the road to there, we'll be around at many investors conference and hosting a couple of roadshows. So looking forward to be in touch with all of you, and thanks for your interest, for your confidence in DEUTZ. And yes, it's happy -- we're happy to continue rocking this thing here. Thank you.